Pekka Rouhiainen: Good morning, everyone, and welcome to Valmet's third quarter result webcast. My name is Pekka Rouhiainen. I'm Vice President of Investor Relations. And with me today are President and CEO, Thomas Hinnerskov; and CFO, Katri Hokkanen. Thank you for taking the time to join us today. We will walk you through Valmet's third quarter. We will highlight our improving performance, key order wins and how we are navigating a market that continues to present both challenges and opportunities. Agenda is straightforward and the usual. So first, Thomas will present the Q3 highlights and discuss our strategy execution, and then Katri will go through the financials, and Thomas then conclude with the guidance and market outlook. And after the presentations, we'll open the lines for your questions, and there's also the possibility to post the questions through the digital platform. So thank you again for joining us and your interest in Valmet. But with that, Thomas, the floor is yours.
Thomas Hinnerskov: Thank you very much, Pekka. And also a warm welcome and good morning from my side. Before we start, I do want to highlight that we've updated the interim report and this presentation to reflect our 2-segment structure in the new strategy, but also even more so making it more investor-friendly and easier to read. So, I hope you appreciate that and actually have noticed the change from last time. Let's start with the key highlights for Valmet's third quarter, a period that truly demanded our best as the market was challenging in some of our key areas. It's important to be clear while the process performance continued to benefit from a favorable market, Biomaterials faced real headwinds, and that's why I'm pleased with the achievements in this quarter overall. This quarter was defined by improving performance and some landmark wins achieved in a very challenging market. Next, I'll walk you through 7 highlights that together paint the picture of how Valmet is not just navigating, but actually leading in this environment. First, our Process Performance segment continued its strong growth track, delivering 11% organic growth in orders received. This is a clear signal of market trust and our team's ability to execute. The market environment was sort of a tale of 2 realities: continued good demand in Process Performance, but weaker conditions in Biomaterial. Our diversified portfolio helped us balance these forces. Despite the headwinds, we increased orders organically by 7%, reaching EUR 1.1 billion. That's a solid achievement in today's environment. A real milestone was the win of a record large tissue order from the U.S. that sets sort of a new benchmark for Valmet and it opens up for robust lifecycle opportunities going forward. Financially, we delivered our best third quarter ever comparable EBITDA of EUR 159 million and margin of 12.3%, slightly higher than last year and one step closer towards our 2030 financial target of delivering 15% comparable EBITDA margin. We've also started executing our Lead the Way strategy. And already we're seeing concrete benefits, especially through the savings from our renewed operating model coming through also here in Q3. Finally, our guidance for 2025 remains unchanged, both in terms of net sales and comparable EBITDA, are expected to stay on last year's level. That stability is a sign of solid execution and the strength of our lifecycle approach. With those highlights in mind, let's look at how our strategy is coming to life. When we launched our Lead the Way strategy in June, we set out more than just to change our operating model. It's a route to overall higher performance, more integrated customer service and increased shareholder returns. Since then, we've put the new operating model and reporting structure in place. Our teams are now aligning around lifecycle, value creation and supply chain excellence. Lead the Way isn't just a slogan. It's showing up in how we work together, how we serve our customers and how we deliver better results. Already, we're seeing concrete benefits. We are targeting, as you know, EUR 80 million in annual savings from the operating model renewal. And in Q3 alone, we realized EUR 15 million of those. We expect the full run rate from early 2026. However, it is good to note that partly we will reinvest some of that savings into growth and to capture future growth. Also we are strengthening our leadership team, especially in tissue business, where Jon joined us in August, and we made other key hires to support our execution. What's most encouraging is the feedback, however, from our customers. They're responding positively to our lifecycle approach and our regenerative purpose. It's clear that our strategy supports long-term value creation and performance. So, the Lead the Way strategy isn't just underway. It's already making a difference. We are building momentum and we are committed to delivering on our promise. And as we move forward with our new strategy, it's encouraging to see that our core strength and ongoing execution are already delivering results. While the full impact of our new strategy will unfold over time, the momentum we are seeing in orders received this quarter shows that Valmet is well positioned to capture opportunities in both favorable but also in challenging markets. In Q3, our orders received increased organically by 7%. This was the fourth consecutive quarter of organic growth. This achievement is a reflection of our team's ability to win business and deliver value even when the market conditions vary across segments. Process Performance continued its strong growth with 11% organic growth in orders received. At the same time, Biomaterial was faced with softer market condition. Our record-breaking tissue order from the U.S., however, demonstrates our capability to secure major wins in this segment. These results support a strong order backlog, provide a solid foundation as we move into the final quarter of the year and look ahead into 2026. Let's bring these numbers to life with a concrete example of how our solutions are making an impact in the market. Today, I want to show our automation platform wins outside of the pulp and paper space, which many people associate us with. We've been selected to automate a hydrogen fuel cell facility in Naepo in South Korea. The point here really is the versatility of the Valmet platform, solving problems in surprising areas even such as clean energy and fuel cells. Every new automation site expands our installed base and our opportunity for delivering this lifecycle software and services over time, delivering recurring revenue opportunities for us as Valmet. It is repeat business with Lotte Engineering & Construction, and it does introduce us to Naepo Green Energy alongside their existing LNG plant in South Korea. To sum up, this is a small win today, but a strong proof that Valmet automation platform is relevant far beyond pulp and paper. Let's now zoom in on the Process Performance segment, where our momentum has been especially strong. In Q3, Process Performance delivered another standout performance, building on the momentum we've seen throughout the year. Orders received increased to EUR 345 million with organic growth of 11%. That's, again, the fourth consecutive quarter of double-digit growth, driven by strong performance in a robust market. These figures do suggest that our market share has grown through acquisition, but definitely also organically. Net sales also grew organically, reaching EUR 361 million, but that's truly remarkable is actually our profitability. Comparable EBITDA climbed to EUR 79 million and the margin hit a record high at 21.9%. This does reflect our disciplined commercial execution, the benefit of our operating model renewal, but also improved performance in API, the acquisition or the business we acquired last year, as you will remember. With this level of performance, Process Performance is setting sort of the pace for Valmet overall. This quarter, we secured the largest tissue order in Valmet's history, a true milestone for our biomaterial business. This landmark U.S. orders expands our North American installed base, strengthening our leadership in the ultra-premium tissue segment and deepens our long-standing partnership with Sofidel. Financially, it's a record high order included in our Q3 results. Revenue will be recognized over the period of 2026 to 2028 with additional long-term growth expected from lifecycle services after the start-up. The project covers the tissue line, automation, flow control, digital solution, delivering efficiency and reliability for our customer. I would say wins like this set the stage for future growth and innovation in this segment. Moving on to the broader performance of Biomaterials segment beyond the landmark win we just discussed. This quarter, the segment operated in a notably softer market. The environment for larger projects has been subdued for some time. What's new is that the service market slowed down compared to Q1 and Q2 when our service orders grew at double-digit rates organically. Importantly, we saw the first sign of the softening already back in Q2 and communicated it also clearly at our previous webcast. We noted a more cautious environment emerging with customer activity expected to decrease throughout the year. In Q3, service orders were essentially flat 1% plus. We saw a slowdown in especially consumables and performance parts. Net sales remained at last year's level, but margin pressure was evident. Our comparable EBITA margin declined to 9.5% despite the cost benefit coming in from our operating model renewal. The margin was lower across the product portfolio, I would say. This does highlight the need for even tighter cost control. We're addressing this head-on through our new global supply unit, which is a key part of a broader strategy to strengthen cost competitiveness in the segment. This covers the operational and market development for our segment this quarter. To give you a bit more deeper look into the financial development, I'll now hand over to Katri, our CFO. The floor is yours.
Katri Hokkanen: Thank you, Thomas. I will now take you through Valmet's financial development for the third quarter. I will cover profitability, cash flow, balance sheet and other key financials in my presentation. And as always, my aim is to provide a clear and transparent view of our financial position, and the drivers that are there behind our performance. Let's start with an overview of our net sales and comparable EBITA for the third quarter. Net sales for Q3 remained stable at EUR 1.3 billion. And organically, net sales were 2% higher than in Q3 last year, and this was due to currency headwinds of roughly EUR 31 million as euro strengthened against the U.S. dollar and other key currencies. Comparable EBITA reached EUR 159 million with a margin of 12.3%, as said, a record high for the third quarter. This increase was driven by a very strong performance in Process Performance Solutions and approximately EUR 15 million in cost savings from our operating model renewal. Our last 12 months comparable EBITA margin remained at 11.7%. Sequentially, it's flat, but still at record level. And actually these results show that we have ability to deliver a consistent financial performance even as market conditions fluctuate. Having covered our net sales and profitability, let's now look at our order backlog and what it means for Valmet's outlook. At the end of the third quarter, our backlog stood at EUR 4.5 billion, which is EUR 74 million higher than what we had at the end of 2024. And this solid backlog, together with healthy book-to-bill ratio this year, creates a good foundation as we move into the final quarter of this year and also to 2026. And based on our current delivery schedules, we expect that roughly EUR 3.6 billion of the backlog will be recognized as net sales in the fourth quarter as well as in 2026. And this provides us with good visibility and also supports our confidence in delivering it in line with our full year guidance. Next, I'll walk you through our cash flow and working capital development for the quarter. Cash flow from operating activities amounted to EUR 94 million in Q3 and EUR 569 million over the last 12 months. And our comparable cash conversion ratio was 92% for the last 12 months, and this is right in line with Valmet's long-term historical average. Strong cash conversion demonstrates the strength of our business model and also our ability to turn profits into cash even as market conditions fluctuate. Net working capital amounted to minus EUR 76 million or minus 1% of last 12 months' orders. Sequentially, from Q2 to Q3, we tied up EUR 63 million more working capital, but this was mainly due to timing effects, which reflect normal variation between the quarters. But to put this into perspective, if we compare with Q3 last year, we have actually released roughly EUR 100 million in net working capital. And this improvement comes from reductions in our inventories and also in our contract assets, which is a good achievement in the current environment. And if we zoom out even further at its lowest level about 5 years ago, our net working capital was EUR 0.5 billion lower than what it is today. However, it's very important to understand the underlying dynamics. So this shift reflects the growth of our Process Performance Solutions and Biomaterials Services business, which typically require more net working capital than CapEx-driven project business. As these segments have grown, while then the Biomaterial project business has been in a low cycle, our working capital profile has also evolved accordingly. And as always, payment schedule in our long-duration projects have a significant impact on net working capital development. Then year-to-date CapEx was EUR 81 million. This is representing 2.2% of net sales and it's also in line with our long-term average. I have to say that efficient cash generation, disciplined capital allocation remain our key priorities. It's supporting by both operational flexibility and also our long-term growth ambitions. Next, I will walk you through our balance sheet development and gearing. At the end of Q3, our net debt stood at EUR 945 million, and we reduced our gearing to 38%. This is a clear improvement from the previous quarter and well within our target of under 50% gearing. Our net debt-to-EBITDA ratio also improved now at 1.5. And the net average interest rate on our total debt remained stable at 3.6%. And net financial expenses fell to EUR 13 million in third quarter, and this is down from the EUR 17 million we had a year ago. And this improvement is driven by both a lower average interest rate and also a reduction of our total debt. For a context, a year ago, our average interest rate was 4.4%. It's also worth noting that the second dividend installment, EUR 0.67 per share totaling EUR 123 million, was paid in early October and it's not yet reflected in these figures. Our liquidity remains robust with a cash and cash equivalent of EUR 479 million at quarter end. So in summary, balance sheet is strong. Our gearing is comfortably below our target and our liquidity gives us the flexibility to invest in growth, support our long-term strategy even in a challenging market environment. Moving on to capital efficiency and EPS. Our comparable ROCE for the last 12 months was 13.1%. This is a solid level, but I want to be transparent. So our financial target is to reach 20% comparable ROCE by 2030 and we still have some way to go. The decrease in ROCE in recent years is mainly due to the acquisitions we have made. So these have increased our capital base and it takes time for the full earnings impact to come through. We are confident that these investments will support stronger returns over time and we have a clear plan how to get there. Then our last 12 months adjusted earnings per share was EUR 1.77, down 8% from full year 2024. And it's important to clarify that this is adjusted EPS, which excludes the acquisition-related adjustments, but includes items affecting comparability. It's sometimes assumed that these items affecting comparability are excluded from adjusted EPS, but in our reporting they are included. Even though our comparable EBITA is EUR 6 million higher year-to-date than last year, the decrease in adjusted EPS was mainly related to restructuring expenses from our operating model renewal. And these are, of course, one-off costs that support our long-term competitiveness. So we are taking the right steps to ensure stronger returns and sustainable value for our shareholders. Moving on to key figures to conclude my presentation. Most of these figures have already been presented today, but I'd like to highlight a few important topics. First, almost all key indicators have developed favorably in the third quarter. And this is a clear sign that our performance was strong even in a challenging market environment. Year-to-date net sales down 3%. This is still in line with our guidance of flat net sales for the year, so we remain on track. Items affecting comparability were minus EUR 10 million, and these are mainly related to a settlement agreement in the Biomaterial Solutions and Services segment following a delivery made 2 years ago. And the delivery required corrective actions led to a commercial dispute, which has now been resolved. And while unfortunate, incidents like this are rare but they do sometimes happen in the project business. Lastly, the effective tax rate was roughly 3 percent points lower in the third quarter and 4 percentage points lower year-to-date. While this change is rather large, it's important to note that the tax rate always reflects the geographical mix of our business. And last year, the tax rate was higher than typical. This year, it's lower. So going forward, we continue to expect a tax rate of roughly 25%. That concludes my review of the key financials. Thomas, over to you to go through guidance and our view of market outlook.
Thomas Hinnerskov: Thank you very much, Katri. Let's look at the guidance and the short-term market outlook. Our 2025 guidance remains unchanged. We expect both net sales and comparable EBITDA to remain on previous year's level. This outlook is supported by our healthy backlog, our cost savings and that we are realizing from our renewed operating model. Looking ahead, our short-term market condition remains mixed. We continue to see a favorable environment in Process Performance, even though the dynamic tariff situation and the overall economic outlook does create uncertainty. The Biomaterials market overall remains challenging. The Biomaterials services markets softened clearly in Q3, and there is a risk of further softening there. One specific area of concern is consumables and performance parts, where orders have been trending down since Q1. This part of business reflects a more day-to-day customer activity and likely mirrors our customers' reduced production rates and to some extent, lower financial results. On a positive note, the tissue market stands out. We won a landmark order from the U.S. in Q3 and the pipeline looks healthy also going forward. The pipeline in our other capex-driven businesses is relatively stable. There are some mega projects in the pipeline, but as always, the timing is difficult to predict. We do remain open to work with our customers if some of these large projects move on to decision phase in 2026. For Q3, it's important to remember -- or Q4, it's important to remember that the comparison period includes in Q4 2024, a mega pulp mill order from Arauco, impacting the comparison figures, clearly also in the Process Performance and the Biomaterial Services. Despite the market challenge, I'm confident that our simplified operating model and focused strategy or strategic position as well will enable us to navigate near-term volatility, creating at the same time long-term value for both our customers and our shareholders. With that, I'll hand over to Pekka for instructions for the Q&A. Thank you, Pekka.
Pekka Rouhiainen: Thank you, Thomas and Katri, for the presentations. And we'll start from the digital platform here before opening the phone lines. So please remember that you have the chance to post the questions also through this platform. But there are a couple of questions here. First of all, strong margins in Process Performance during Q3. So are there some one-off items or something like that explaining the good result?
Thomas Hinnerskov: Yes, great results in Process Performance in Q3 in terms of margin. Overall, I would say they did -- the margin was supported by the savings in the operating model. They were also ahead of the curve commercially on some of the costs that are coming in. So that will impact them later on in Q4, but we're happy to take that extra result in Q3. On top of that, I would also mention that we did acquire API last year, and that performance has really come up and also showing really good results. We are very happy with that acquisition.
Pekka Rouhiainen: Good. Thank you, Thomas. And then another one here regarding the savings, so EUR 15 million saved in Q3 from the operating model related things, I guess. And how much are the savings that you're expecting going to Q4 and 2026?
Thomas Hinnerskov: We expect roughly the same level of savings into Q4. No, it's not going to change much. I think maybe just important to note going into '26, we will -- and that's also what we communicated at the Capital Market Day back in June 5 when we launched the strategy. Part of this operating model is also to free up resources so we can invest part of that back into future growth and therefore, actually getting into a better trajectory in '26.
Pekka Rouhiainen: Good. Thank you, Thomas. That's it for the platform right now. So now operator, handing over to you.
Operator: [Operator Instructions] The next question comes from Panu Laitinmaki from Danske Bank.
Panu Laitinmaki: I would have a few. Firstly, starting on services and the outlook that you now gave. Could you kind of talk a bit more like where is this coming from, the weakness in services? And what is the magnitude of the kind of potential further weakening if you had orders declining 2% in Q3? Is this like 5% plus decline going forward or any indications of this one? And maybe on services, if the spare parts and consumables are down, is this the highest margin part of services that is declining currently?
Thomas Hinnerskov: Yes. Good question. If we look at the services and Biomaterials throughout the year, Q1 consumable spare parts really, really strong. Q2, consumer spare parts came down, mill improvements came up, and we'd still have a good growth overall in Q2. Here in Q3, you can say that that trend has sort of continued consumables and spare parts down, particularly, I would say, in Europe and North America. And then where then mill improvement projects has gone up in China and in North America, in particular, where we've seen the biggest growth. I think it's important to note that the mill improvements really are important projects for us because that's where we really help the customer as well in improving their efficiency and their cost competitiveness. And we're very happy that we have seen a good track record of that. Clearly, of course, that's slower moving in the backlog or in the order portfolio, so that the sales comes out a bit later than if it was spare parts or consumables.
Panu Laitinmaki: Okay. Then on the cost savings, how did the EUR 15 million split into the 2 divisions? And maybe on '26, so should we expect EUR 15 million to impact your EBIT if you kind of get EUR 30 million for this year? Or did you indicate that you aim to invest part of that to the business, so it will be like less than EUR 15 million support to the earnings or margins?
Thomas Hinnerskov: Now you had 2 questions there. What was the first part? Just I couldn't really hear you coming through. Sorry.
Panu Laitinmaki: It was how did it split, the EUR 15 million, into the 2 divisions?
Thomas Hinnerskov: Okay. Yes. The split between Bio and Performance Solutions, think about it like 2/3 bio and 1/3 in the process performance because you also have to think about where we took the most complexity out was actually in the Biomaterial business.
Pekka Rouhiainen: And then Thomas, about 2026.
Thomas Hinnerskov: Yes, 2026, we will sort of have full run rate early 2026 of these EUR 80 million. We will reinvest some of that into growth, that I said. I would think of it like 80-20, where 80% goes into supporting the results and 20% maybe in the reinvestment. And of course, you also need to think about, I think we've also communicated that earlier, that it's split between white-collar COGS and white-collar SG&A.
Panu Laitinmaki: My final one is on the Process Performance. So, you answered that there was maybe some commercial, they were ahead of the curve in -- so does it mean that prices were increased before the costs increased due to tariffs or so on, and that this will kind of go away or turn in Q4?
Thomas Hinnerskov: Yes. Clearly, I mean, as you also have seen, the market has been very dynamic and also in particular in terms of the tariff situation. So we have needed to adjust our pricing according to that. And then some of that tariff has come through a bit later than was originally expected.
Panu Laitinmaki: Can you quantify what is the magnitude of that in the margins?
Thomas Hinnerskov: Not -- I don't think we supply that kind of level of information. But there was -- there was a good impact. But you also have to consider into that API was doing better, cost savings were coming through without the reinvestment into future growth. So lots of things sort of pointed or gave some tailwind into the margin development for PPS.
Operator: The next question comes from Sven Weier from UBS.
Sven Weier: The first one I got is just coming back on the services outlook. I was just wondering, obviously, after Q2, you already gave a slightly weaker outlook for services into the coming quarters. I just wonder the outlook that you give today on the coming quarters, is that incrementally weaker than what you had in mind in Q2? Or is it the kind of same softness? That's the first one.
Thomas Hinnerskov: Sven, thanks for joining. Overall, we've seen, as you can see, that the daily operating rates, consumables and spare parts has come down. We've seen in Q2 and Q3 roughly 9 million of tons of capacity coming out of the market where we roughly have 4 of those. So that's, of course, impact the overall consumption of these spare parts and consumables. So that has impacted. Now it is -- you can say that the situation is quite dynamic, can change positive-negative quite fast with our customers and depending on how their situation is with their customers. So it's a bit hard to say, but we do see a risk of further softening, I would say, going into Q4.
Sven Weier: And is it that customers can still actually destock? Was there maybe also a prebuy ahead of the tariffs, and that's also weighing on the spare parts demand?
Thomas Hinnerskov: That was probably back to Q1 where we saw spare parts and consumables coming up quite a lot and not happening really in Q2 and not in Q3 either. So I think it's more about prolonged shutdowns to actually manage the overall capacity, which then drive the consumables.
Sven Weier: The other question I have was just on the Biomaterial margins and the -- which were a bit weaker than we expected. I mean, is it also that Arauco is a bit to blame here in terms of margin dilution? And is the project going according to plan?
Thomas Hinnerskov: So Arauco is really going according to plan. I was actually visiting on-site there a few weeks ago. So I'm super happy that you're asking. I was there together with the CEO of Arauco, and we made a joint review of the whole project together. And it's great to see how it's progressing according to plan, and the team are really playing together to make this a success for Arauco as a customer. So very happy with the progress there, I have to say. Then just maybe to give you a little bit more flavor on the Biomaterial overall margin. We have seen -- we are seeing that sort of the overall product portfolio margin is lower than what it has been historically. But that we see more or less throughout sort of the year, and that will also go into Q4.
Sven Weier: Understood. And the final question from my side, if I may, is just on the -- coming back to the cost saving bit. I mean, did you say there is an incremental EUR 15 million in Q4? Or is the run rate staying at EUR 15 million in Q4?
Thomas Hinnerskov: So we've achieved -- so I'm more saying the run rate will continue like this. You can also see that in the number of people that have actually left if you sort of click on that, you will see that we have achieved actually most of the savings from a run rate perspective. Some will come during Q4, Q1, right? But most of it…
Sven Weier: But you will be an EUR 80 million annualized in Q1, beginning of next year, you said, right?
Thomas Hinnerskov: Yes, sometime early 2026. So sometime during Q1.
Sven Weier: And did you use some of these savings then to win this major tissue project? Or do you need to invest these savings in other end markets?
Thomas Hinnerskov: No. So these savings are not related to the tissue win at all. So these -- when we talk about these EUR 15 million, they are solely related to the operating model change. And that's why we're also saying in order to actually deliver on the strategy, we will reinvest some of that very sort of focused and tailored in certain markets to win more share. And then if you think about our global supply, the EUR 100 million that we talked about back in June, that's going into sort of 2 buckets. One is overall cost improvement and then, of course, also cost competitiveness. The cost competitiveness piece is a little bit of a longer game than just sort of a few quarters.
Sven Weier: And then I guess tissue is not a market where you need to invest into market share gains because you are already strong.
Thomas Hinnerskov: Yes. Exactly.
Operator: [Operator Instructions] The next question comes from Mikael Doepel from Nordea.
Mikael Doepel: I have 2, if I may. Firstly, again, coming back to the service market. Just to be very clear here in terms of how to read your guidance. So should we see it, as you know, the market being down perhaps sequentially seasonally adjusted in absolute terms over the next 6 months? Or are you referring to kind of a year-over-year market trend, which might weaken from what we have seen now, for example, in Q2 -- sorry, Q3 with your orders being down by 2%? So just trying to get full clarity in a way on that so we don't misinterpret it how to read the guidance, please.
Thomas Hinnerskov: Thanks, Mikael. I'm not sure -- I wasn't sure I understand the question, but the question is that when you -- when we say the guidance, it's -- are we comparing versus Q3 now for Q4? Or are we comparing with Q4 last year? Is that the question or?
Mikael Doepel: Exactly. That's more or less the question. Yes. So trying to understand should we expect accelerating declines in demand year-over-year for the next couple of quarters? Or are you kind of looking at Q3 as a run rate and seasonal adjustment?
Thomas Hinnerskov: Yes. Of course, I mean there's always seasonality in it. So we always think about sort of comparing versus the last year, not from sort of the starting point or the ending point coming out of the quarter. So I think you should think about it versus Q4, but you have to, in Q4, think about that that was impacted by the Arauco order in Q4. Not just in the capital side, but also in the Process Performance Solutions, but also in the Biomaterial Services as the service package comes through there as well.
Mikael Doepel: Yes. That makes sense. Okay. And then secondly, on the U.S. market very briefly on the pulp market, in particular. Now I remember you have been talking about opportunities in that market. So you have a fairly old installed base on the pulp side, recovery boilers and all of that kind of expecting good opportunities there. I guess we haven't seen that much flowing through yet, at least in your orders. So I'm just wondering if you would like to give a bit of an update on how you see that market now. I mean, is the overall tariff or uncertainties putting things on hold? Or any color on that trend would be great.
Thomas Hinnerskov: Yes. I mean North America market, a very good market. Overall, as you also alluded to, old installed base will eventually need to be upgraded and a lot of improvement projects will need to come through there. They are currently -- I would say, they've taken some capacity out during Q2, early Q3 as well to support sort of the overall situation there. However, they are running, I would say, close to optimal operating rates as we speak, right? And they are actually sort of being -- what can I say, they benefit from the current tariff situation, I would say, overall, but they still struggle with what sort of -- what's the direction when they're looking into the coming quarters and years. And therefore, I think that's also one of the reasons why you've seen quite silent CapEx market, not just in North America, but overall.
Operator: The next question comes from Panu Laitinmaki from Danske Bank.
Panu Laitinmaki: I wanted to ask about the EUR 10 million one-off costs. So if I understood correctly, this was a project settlement. So is this like the way you always treat this and so as an item affecting comparability? And how do you kind of define when it's a project loss test reported as part of normal business and when it's something that's taken out from the adjusted or comparable EBIT?
Katri Hokkanen: Yes. Thank you, Panu, for the question. Actually, this was a delivery that we have done already 2 years ago. So in that sense, it has been delivered. And there has been a dispute with the customer, which required then corrective actions, and now we have settled it. So these are very rare, I have to say.
Panu Laitinmaki: Okay. And if I may, another question. What about these large projects in pulp? So -- or the potential ones, what is like the timeline? When do you think the customers are making decisions? Is it '26? Any color on those ones?
Thomas Hinnerskov: I mean, as usual, it is very, very difficult to predict when these comes out. They are very binary by nature. Of course, as you know, there are some of them in the pipeline, but question is when that decision is made. It's a bit about how the customers see actually the market for pulp developing into the future. And then -- so hard to give you sort of more insight on that one. But of course, we are working with the customers having to sort of help them out doing the solution engineering, figuring out how would actually the payback and the return on investment look like for them.
Operator: The next question comes from Xin Wang from Barclays.
Xin Wang: So my first question is on automation and flow control orders, which came at a very good level. Can you maybe talk about what's driving the demand, either by region or by customer groups? I think you mentioned hydrogen fuel and power in the release. And then you also talked about good pricing level being a driver. Is this across the sector or unique to Valmet?
Thomas Hinnerskov: Very good question. I think if you look at our Process Performance Solutions, they actually also have customers that are in challenging situation with some overcapacity and some tough pricing in their markets. However, we do see that they are very committed to the future. They have done some CapEx investments in actually to driving their efficiency going forward or into the future. So we've seen, especially in automation, maybe we see more CapEx orders than what we've -- and then service orders or that mix have actually been a bit more heavy on the CapEx, which is great to sort of in terms of installed base and future businesses, right? Same go a bit with Flow Control. I think the pricing is more a Valmet specific thing than necessarily a sector thing.
Xin Wang: Very good to hear. So maybe just a follow-up on this bit because when I look at your customer base in Flow Control, for example, I think there is 26% given out of your CMD slides being pulp and paper. For the other industries, what was the secret to gain pricing power in there in, I don't know, chemicals, renewable energy, metals and mining, et cetera?
Thomas Hinnerskov: Yes. I think taking Flow Control is really about having a very strong solution offering that adds value to the customer more uniquely than any of the other competitor, having a very focused and specific commercial plan on how you're actually going to get this to market, what segments are you focusing on, not trying to go too broad, but actually being very specific on where does your solution offer a uniqueness into the market and then really pushing that. And that is actually quite a number of industries where we have -- as part of the solution where we have a uniqueness that -- where we can actually serve the customer better.
Xin Wang: Okay. Great. Maybe if I can ask one more question. I think in Q3, you continued to benefit from China orders, although presumably at a far lower scale than Q2. Can you maybe comment on your expectations over there, please?
Thomas Hinnerskov: Yes. So, what I also just said is that we saw several mill improvement projects in the Bio business in China, but we also had a -- also on the Process Performance Solutions, we also had some good orders coming in there. I mean I think you know the Chinese situation. It is, of course, a challenging market like it is also some other places. And you just need to be very, very focused in your commercial strategy when it comes to China in order to be successful. Otherwise, you end up getting lost and you end up getting marginalized because you're trying to do too many things for too many kind of customer segments.
Operator: The next question comes from Antti Kansanen from SEB.
Antti Kansanen: It's Antti from SEB. A couple of questions from me as well. I'll start with a clarification on the savings comment. So the EUR 15 million that you are flagging, am I correct to understand that this is the impact on quarterly EBIT and not any kind of an annual run rate number? So that would be the first one.
Thomas Hinnerskov: That's correct.
Antti Kansanen: So it's safe to assume that if -- and then I wanted to come back to the comment on reinvesting part of the savings next year. Was this originally the plan when you announced the EUR 80 million cost savings during the Capital Markets Day? Or has something changed since then?
Thomas Hinnerskov: No, this was a clear part of the plan at the Capital Market Day.
Antti Kansanen: Okay. Fair enough. Then the second question is on the outlook for…
Thomas Hinnerskov: Antti, just to be clear, of course, we're not just flooding in resources, right? It is very tail -- it's back to the plan and the road maps we created for the strategy implementation and execution back, I mean, before the June 5, and that's where the investments are going into, in particular when it comes to certain sales forces where we do see that there are opportunities, but they're not necessarily done historically because the payback time is not within the year.
Antti Kansanen: Okay. I mean that's very clear. But I'm kind of correct, assuming that this is basically the quarterly run rate of net savings that we should assume. I mean the EUR 5 million is roughly already close to 80% of, let's say, the gross number that you are talking about. So --
Thomas Hinnerskov: Not too far away.
Antti Kansanen: -- repeated in terms of --yes. Okay. Good to have it correctly. But then I guess the bigger question that I had was on the service demand and on the consumables and parts side, obviously driven, as you mentioned, by the client production rates. So how do you look at it? Is this just a business cycle that you kind of have to suffer right now? Or are you seeing something more permanent happening within your existing service base that would maybe require actions that were not part of the ones that you outlined on the strategy and the CMD in June in terms of, let's say, permanent closures of shrinkening of installed base in some of your key service areas?
Thomas Hinnerskov: No, I think it's driven by the moment. Of course, as I said earlier, the 9 million tonnes of capacity coming out. 4 million of those roughly is Valmet capacity or original Valmet equipment. That's, of course, a lot of it is quite old equipment, but anyhow it does, of course, drive demand. But then the lower operating -- I mean, as I also said, we're seeing very good operating rates in North America now. If they closed a few sites in Q2, in particular. Very good operating rates right now. Europe, I mean, struggling as you probably would imagine and know, and also in terms of the operating rates, right. So, it's basically sort of say demand side driven right here and now for the customer.
Operator: The next question comes from Christoph Blieffert from BNP Paribas Exane.
Christoph Blieffert: I have 2, please. Can you help me better understanding the margin profile of spare parts and consumables versus mill improvement projects and services, please?
Thomas Hinnerskov: I think the right way to really think about it is that point one, we have a -- we set out an ambition for 2030 of having a 14% margin in our Bio business, right. That's sort of the aiming point. Secondly, that is then really about making sure we drive the lifecycle value for our customers, optimizing their outcome because we are the manufacturing equipment for the customer. In order to make them competitive, especially when it comes to older equipment, then these mill improvement projects becomes really important. And that then generates also then future service and consumable sales or parts and consumable sales. So I wouldn't try to sort of see it in isolation or the mix. I think that just clouds the bigger picture in terms of the direction of travel. I think the only thing is that it's more important to think about that it's slower turning in terms of the order book backlog that it doesn't come out tomorrow necessarily, right, with like a spare part would do.
Christoph Blieffert: Okay. Understood. The second question is on 2026. Consensus expects some EUR 706 million of comparable EBITA for next year. I'm just wondering if you feel comfortable with the EUR 19 million year-on-year increase.
Thomas Hinnerskov: I think -- I mean, a good question. And as you know, we do come out with our guidance for 2026 in connection with the Q4 results. I think we are standing on good grounds in terms of going into next year. We've got a good order backlog. We've got savings that helps us improve our profitability. So in that sense -- we've got PPS also having had some good growth during this year. So we are going into with some good things in the bag, but let's see back in after Q4, how that would play out and more specifically.
Operator: The next question comes from Mikael Doepel from Nordea.
Mikael Doepel: I just have a very small detailed follow-up on the 9 million tonnes of capacity that you're talking about taking out from the market. Are you referring to containable, consumable, pulp or everything together, just to be clear on that number?
Thomas Hinnerskov: Yes, it's mainly in the paper and board segment.
Mikael Doepel: Okay. But also pulp then or just that…
Thomas Hinnerskov: Yes. No, I think that is -- I think you have sort of think about it as mainly a board thing.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Pekka Rouhiainen: All right. Thank you. There seems to be no questions from the digital platform at this stage either. So it's time to start to conclude the event. And the Q4 report will be due on February 6 next year. And yes, I hope to see many of you in the various roadshows and seminars we are planning to participate still this year. But now I'd like to hand over to Thomas for any final remarks.
Thomas Hinnerskov: Thank you, Pekka, and thanks to everyone who joined us today. To sum up, Valmet delivered a good performance and an improving performance in the third quarter, even as market conditions remain challenging. Our healthy order backlog and ongoing cost savings, like we also just talked a lot about from the operating model renewal, gives us confidence in our outlook. We remain fully committed to our strategy and to create long-term value for our shareholders and stakeholders. So on behalf of the entire Valmet team, thank you, and thanks for their continued trust and support. We are looking very much forward to keeping you updated on our progress. And then have a great and wonderful day. Thank you.